Operator: Good afternoon, and welcome to Skyworks Solutions Fourth Quarter Fiscal Year 2015 Earnings Call. This call is being recorded. At this time, I will turn the call over to Steve Ferranti, Vice President of Investor Relations for Skyworks. Mr. Ferranti, please go ahead.
Stephen Ferranti - Vice President, Investor Relations: Thank you, Cathy. Good afternoon, everyone. And welcome to Skyworks fourth fiscal quarter 2015 conference call. Joining me today are Dave Aldrich, Don Palette and Liam Griffin. Dave will begin today's call with a business overview followed by Don's financial review and outlook. We will then open the lines for your questions. Please note that our comments today will include statements relating to future results that are forward-looking as defined in the Private Securities Litigation Reform Act of 1995. Actual results may differ materially and adversely from those projected as a result of certain risks and uncertainties including but not limited to those noted in our earnings release and those detailed from time to time in our SEC filings. I'd also like to remind everyone that the results and guidance we will discuss today are from a non-GAAP income statement, consistent with the format we've used in the past. Please refer to our press release within the Investor Relations section of our company website for a complete reconciliation to GAAP. With that, I'll turn over the call to Dave for his comments on the quarter.
David J. Aldrich - Chairman & Chief Executive Officer: Thanks, Steve. And welcome, everyone. I'm pleased to report that we delivered a strong close to fiscal 2015 producing fourth quarter financial results that once again significantly outpaced the growth of the broader semiconductor market. During the quarter, we posted revenue of $881 million. That's representing 23% growth from the prior year. We delivered operating income of $335 million. That's up 42% versus last year. We earned $1.52 in diluted earnings per share, which is up 36% year-over-year. We generated over $230 million in cash from operations, and we are guiding for December quarter revenue to be up again sequentially with gross margins of 51% and EPS of $1.60. Given that Q1 guidance exceeds our previous 50% gross margin target, we're introducing an updated mid-term model, which Don will provide the details of later in the call. Our fourth quarter performance closed another record year for our company. And for the full year, we posted revenue of $3.26 billion. This represents a 42% annual growth. We expanded our operating margins by 600 basis points, exiting Q4 at over 38%. And we grew earnings per share by 63%, continuing to demonstrate strong financial leverage. And we also generated roughly $1 billion in cash flow from operations, and we returned over $360 million to shareholders through a combination of dividend payments and share repurchases, while increasing investments in R&D, expanding production capability, and extending our technology roadmap. All in all, this was an outstanding year for Skyworks. And we continue to see numerous opportunities to capitalize on the powerful technology trends that are fueling the long-term growth in our served markets. These include exploding data consumption across the consumer and enterprise landscape; these include soaring adoption of cloud services from the likes of Amazon, Google and others; the proliferation of connectivity throughout the emerging markets; and the rise of the Internet of Things. These global trends are all in the early innings and all rely on seamless connectivity to efficiently and reliably move massive amounts of data anytime and anywhere. The end result is a boom in connected devices and worldwide data consumption fueling tremendous opportunity, but also creating major technical hurdles within the industry. By virtually every measure, consumer appetite for streaming services is growing dramatically, as traditional broadcasters and new content service providers, like Netflix, Amazon and Hulu, race to gain a foothold in the new online world of content distribution. In fact, analysts estimate that mobile data usage will increase at nearly 60% compounded through 2019. This places significant strains on network infrastructure and on devices. As an example, consider that an hour of streaming high-definition video consumes roughly one to two gigabytes of network bandwidth, 4K streaming devices consume two times to three times this amount. And further exacerbating the industry's challenges is the limited amount of spectrum and network capability available to address this pending surge in data. Market forecasts estimate that only around one-third of the spectrum needed to meet bandwidth requirements over the next few years is in service today. And to solve this imbalance, carriers are either deploying new spectrum or finding ways to increase the throughput of existing frequency bands. Finally, this rising data trend directly impacts the battery life of today's devices, as technologies like LTE Advanced, eventually 5G demand, and they demand higher and higher power levels. This comes at a time when our customers are already wrestling with power budgets to implement more capable processors, higher definition screens and other power consuming features. As customers struggle to adapt to these market realities, we are increasingly being brought into the architectural discussions much earlier in the design cycle. This is the primary reason we are shaping next-generation solutions to implement higher band counts and the use of unlicensed bands, increasing carrier aggregation combinations, tighter and tighter filtering requirements, more complex receive architectures, advanced Wi-Fi configurations and more sophisticated techniques to manage power and increase efficiency. As customers implement this next level of functionality, they are increasingly demanding more system-level solutions and higher levels of integration and these are playing directly into Skyworks' strengths. We see all of these dynamics increasing our addressable content across the breadth of our service markets for years to come. As I mentioned earlier, this backdrop provides us with a high confidence level in our business trajectory and we're introducing a new mid-term earnings model, which Don will discuss in more detail following his review of our financial results. With that, I'll turn it over to Don.
Donald W. Palette - Chief Financial Officer & Executive Vice President: Thanks, Dave. And thanks for joining us, everyone. Revenue for the fourth quarter was $880.8 million, ahead of our prior guidance of $875 million and up 23% versus the year ago quarter. Gross profit was $440.1 million or 50% of revenue and that's a 100 basis point sequential increase from the June quarter and a 400 basis point increase from the prior year. Operating expenses were $104.9 million, consisting of R&D expense of $70.8 million and SG&A expense of $34.1 million. We generated $335.2 million of operating income, up 42% year-over-year, yielding a 38.1% operating margin. Below the line, we had expenses of roughly $1.1 million from interest and other expense. Our cash tax rate for the quarter was 11.4%. That's in line with our guidance and resulting in net income of $296.1 million or $1.52 of diluted earnings per share, up 36% year-over-year and $0.01 better than our guidance. Turning to our fourth quarter balance sheet and cash flow statement, we generated $233 million in cash flow from operations, invested $151 million in capital expenditures with depreciation of $46 million and we exited the quarter with over $1 billion in cash on hand and no debt. Moving to our product mix for the fourth quarter of fiscal 2015. Power amplifiers represented 20% of revenue, integrated mobile systems was 59% and broad markets was 22%. It is worth noting that integrated mobile systems were up 84% year-over-year during the quarter. In Q4, we distributed $160 million to shareholders through our dividend and stock repurchase plans. Our quarterly dividend and ongoing share repurchase activity remain important components of our commitment to return excess free cash flow to shareholders while continuing to fund internal growth initiatives and seek out accretive M&A targets. For fiscal 2015, we returned approximately 64% of free cash flow to shareholders, higher than our goal of 40% based on our recent share repurchase activity. Longer term, we continue to view an allocation of roughly 40% of free cash flow as an appropriate balance between internal investment for growth initiatives and shareholder returns. Turning to our first quarter fiscal 2016 business outlook, we expect revenue to be between $925 million and $930 million, up 5.3% sequentially and 15% year-over-year. At the midpoint of the range, we anticipate gross margin to be 51%, representing a 430-basis-point year-over-year improvement. We expect our operating expenses to be around $108 million, driven by ongoing investments in engineering and development teams as we expand our footprint within new verticals and further enhance our integration capabilities. We expect first quarter operating margins to exceed 39%. Below the line, we anticipate around $900,000 in expenses from interest and other expense and a cash tax rate around 14.5%. For the remainder of fiscal 2016, we recommend modeling a cash tax rate in the 14.5% range. We expect Q1 share count to be around 195 million shares resulting in EPS of $1.60 at the midpoint of the revenue range. Our Q1 gross margin guidance exceeds our previous target of 50%, and we are within striking distance of our previously outlined $7.00 EPS target. Given our confidence in our business trajectory, which is driven by visibility into future architectures and our internal gross margin initiatives, we are introducing a new organic midterm model. And that's driven by the following assumptions. First, we continue to see our served market opportunity growing at a mid-teens pace for the foreseeable future based on our ability to address more systems level functionality and expand our footprint. Second, we are targeting continued gross margin expansion driven by the positive contribution from our latest generation products, which incorporate higher levels of integration and functionality with greater differentiation, the growth of integrated mobile systems in broad markets product areas as a percentage of our revenue, scale benefits associated with increased volume, continuing efficiency gains from our filter business, and our ongoing efforts to optimize cycle times, yields and supply chain efficiencies. And third, we anticipate ongoing R&D investments in systems, engineering and field applications teams to extend our technology advantages and build out our footprint in adjacent vertical markets. The end result is that within a six-quarter to eight-quarter period, we are targeting organic annualized EPS of $8 at a revenue run rate of around $4.5 billion with gross margins in the 53% range. Longer term, based on our internal margin initiatives, we are driving the business towards gross margins in the 55% range on an organic basis. So with that, I'll turn the call back over to Dave.
David J. Aldrich - Chairman & Chief Executive Officer: Thank you, Don. As we enter fiscal 2016, our deep customer engagements, visibility into future generation architectures, and internal margin enhancement initiatives provide us with a unique perspective on our future growth opportunities, providing a high confidence level in our organic business trajectory. Before opening the calls to questions, I'd like to provide a brief update on the acquisition of PMC. On October 30, we announced that we have entered into an amended and restated merger agreement to acquire PMC for $11.60 in cash per share of PMC common stock which we intend to fund through a combination of cash on hand and fully committed debt financing. The agreement has been approved by both boards of directors and is expected to close some time in the first half of calendar 2016. It's worth noting that the acquisition of PMC is additive to the organic $8 midterm model that Don just described and a mid-50%s gross margin goal. So in closing, we remain poised to continue outperforming the broader semiconductor market and extending our track record of above-market topline growth, enhanced financial returns and earnings leverage. We've created a unique business model tethered to the global wave of connectivity and combining consistent above-market topline growth with the financial returns of a best-in-class diversified analog company. That concludes our prepared remarks. Operator, let's open the line for questions.
Operator: Thank you. Our first question will come from Mike Walkley with Canaccord Genuity. Go ahead, please.
T. Michael Walkley - Canaccord Genuity, Inc.: Great. Thank you very much and congratulations on the new (14:12).
David J. Aldrich - Chairman & Chief Executive Officer: Thank you. Mike? Hello? We lost you.
Donald W. Palette - Chief Financial Officer & Executive Vice President: Hello?
David J. Aldrich - Chairman & Chief Executive Officer: We lost you.
Operator: Yeah, so I apologize. Mike, are you there now?
T. Michael Walkley - Canaccord Genuity, Inc.: Yeah.
Operator: Okay. Go ahead.
T. Michael Walkley - Canaccord Genuity, Inc.: I'm sorry, can you hear me now?
David J. Aldrich - Chairman & Chief Executive Officer: Yes.
Donald W. Palette - Chief Financial Officer & Executive Vice President: Yep.
T. Michael Walkley - Canaccord Genuity, Inc.: Okay. Sorry about that. Just going to follow-up on the design win activity with marquee customers, you shared this new target which is great to see, the $8 target. One of your competitors today in their press release is talking about securing design activity with marquee smartphones. Is it just that these smartphones are more and more complex and there's more opportunities, or maybe could you just address kind of your comfort and visibility into these marquee customers and design win activity into next year.
David J. Aldrich - Chairman & Chief Executive Officer: Well I think in general, the visibility we have continues to improve because as we mentioned in our prepared comments, we're being invited into the design cycle much, much earlier because we have a bigger footprint, we have a bigger piece of the overall system, and the system requirements are increasingly dependent upon strong analog performance, which is our sweet spot. As a result of that, we are seeing fewer competitors; a definite consolidation of share as we address each customer. So in general, the content is increasing with Wi-Fi functionality, tuning functionality, power management, amplifiers, filters and the like, and we're seeing a narrower competitor base. And so that's why we continue to see – and teardown reports, for example, will bear this out – we continue to see increased content with each successive generation of design.
T. Michael Walkley - Canaccord Genuity, Inc.: Okay. Thanks very much.
David J. Aldrich - Chairman & Chief Executive Officer: Thank you.
Donald W. Palette - Chief Financial Officer & Executive Vice President: Thanks, Mike.
Operator: Thanks. Our next question will come from Alex Gauna with JMP Securities. Go ahead please.
Alex D. Gauna - JMP Securities LLC: Afternoon, everybody, and congratulations as well.
David J. Aldrich - Chairman & Chief Executive Officer: Thank you.
Donald W. Palette - Chief Financial Officer & Executive Vice President: Thanks, Alex.
Alex D. Gauna - JMP Securities LLC: I was wondering, Dave, and you're setting a mid-teens growth, does that assume an underlying market growth rate in smartphones consistent with what Qualcomm just outlined yesterday in the low-single digits? And is there room for variance around that? What are the puts and takes around the market doing better than or worse than an underlying low-single digits growth rate?
David J. Aldrich - Chairman & Chief Executive Officer: Yeah, I think when we look at our addressable market, two things are driving it, Alex. One is that we do see – for example, in China, we're really focused on 4G. We're focused on smartphones and 4G. We've de-emphasized 3G to the extent that it's a standalone product. We don't do any 2G anymore. And so we tend to focus on segments of the market that are at the highest growth that really demand a level of system performance for which we get paid a premium. So we think the growth rate of smartphones and how we address smartphones is a little higher than that. And clearly we get a multiplier because we are increasingly addressing on the analog side increasing band content, carrier aggregation, more high functionality Wi-Fi and MIMO and 2x2s, more power management and voltage functions, so we are broader than any of our competitors at the system level. So our content continues to grow, driven by complexity of the device and also we continue to add more blocks of functionality in the overall system.
Alex D. Gauna - JMP Securities LLC: But, Dave, that reminds me of an additional question for you. You've done a great job historically of focusing like you are now on 4G or the key customers. And in going after PMC-Sierra here, it's a company that's gotten caught looking at some legacy type of markets before. How far are you willing to take this bidding war you're in now? It's taken you decades to build up a $1 billion war chest. What's the urgency in going after this now?
David J. Aldrich - Chairman & Chief Executive Officer: Well, as we stated in our earlier remarks, Alex, we do have a definitive agreement. We have our committed financing. We expect to close sometime in first half of 2016. And given that the transaction hasn't yet closed, that's about all we can say. The only thing I will add is that, if you look at Skyworks, the sweet spot of what we're very good at, we've been leveraging high-speed data and the consumption in mobility. So it's a natural extension to mobility and connectivity for us to extend into access to the cloud. We think it's just another high-end growth driver that will be both accretive to margin, but also sustainable for a generation.
Operator: Thank you. Our next question is from Cody Acree with Drexel. Go ahead, please.
Cody G. Acree - Drexel Hamilton LLC: Thanks, guys, for taking my questions and congratulations.
David J. Aldrich - Chairman & Chief Executive Officer: Thanks, Cody.
Cody G. Acree - Drexel Hamilton LLC: You guys went through the summer with a lot of concerns about excess handset inventories. I'd just like to get your view on where the health of inventory is as we head into the holidays.
David J. Aldrich - Chairman & Chief Executive Officer: Sure, Cody. Yeah, we actually see inventory levels right now kind of at normal run rate. We have great visibility into our tier-1 accounts. We have visibility into China and other markets and nothing really unusual there. You're right, there was a little bit of a softness at some point earlier in the year, but we feel good about the position today.
Cody G. Acree - Drexel Hamilton LLC: And, Dave, just maybe on a strategic question, with your position in filters and the growth in capacity that you've made, what is your long-term strategic objective in filters? Is it a market that you can address with what you have or do you need to get up into the BAW filter territory to really address the opportunities in that market?
David J. Aldrich - Chairman & Chief Executive Officer: Well, that's a great question. If you think about the way we're approaching filter technology, it's very much the way we approach semiconductor technology where we try to be as process agnostic as we possibly can and look for the best process for the function. And we've done that very successfully in Wi-Fi and transmit path and power management and so on. In the case of filters it's really no different. We don't sell discrete filters. All of our filters are integrated into a higher level system where we're able to leverage our MCM capability, our amplifiers, our switches, our filters to come out with the best overall data handling capability at the lowest current consumption. And we'll continue to do that here. We find that TC SAW has been a wonderful addition in technology for us. We are also extending the advantages of temperature compensated surface acoustic devices to do higher and higher frequency, and frankly picking off bands that were previously only addressable by BAW. And with respect to bulk acoustic technology, we do see that there are bands that we're going to need and so between partnerships and our own internal development, we expect to be in production with BAW devices by 2017.
Operator: Thank you. We'll go next to Craig Ellis with B. Riley. Go ahead, please.
Craig A. Ellis - B. Riley & Co. LLC: Thanks for taking the questions and congratulations on the results and strong outlook. The first question is for Dave. Dave, I think it was about 10 months ago or so that you identified that the performance of the business in the fiscal second quarter would behave better than it had historically because of the growth of the broad markets business. Is that still your view?
David J. Aldrich - Chairman & Chief Executive Officer: You mean our fiscal second quarter? Is that what you're talking about, Craig?
Craig A. Ellis - B. Riley & Co. LLC: Yeah, the fiscal second quarter, the calendar March quarter.
David J. Aldrich - Chairman & Chief Executive Officer: The answer is, yes, it is our view. March normal seasonality in the market is down perhaps 8% to 10%. Some customers will be down more. Other customers will likely do better. But despite that, we have a couple of tailwinds. One is that we are consistently adding content. And that quarter will be no different than prior quarters and the quarter we just completed. And broad markets for us is usually better than normal seasonality in March. So our expectation is that we will outpace that normal seasonality in March.
Craig A. Ellis - B. Riley & Co. LLC: Thank you. And then the follow-up is for Don. Don, very robust gross margin performance the last two quarters in the outlook. The incremental gross margins, I think, on average around 70% for those three quarters. So, given the strength of the new midterm model, are you suggesting that the business can stay on that trajectory? Or are there things happening in the business that would cause some deviation from the recent strength we've seen in the gross margin line?
Donald W. Palette - Chief Financial Officer & Executive Vice President: Yes. The way to, Craig, to model that going forward is we still have a high confidence when we take a look at what products we're shipping in the forecast that at a minimum you're going to see a 57%, as we've discussed before, kind of incremental drop-through. What's different as you're looking at our margin profile is that our new product releases in generations as they're shipping, they're tending to have higher margins. And that's based on the integration, based on functionality, based on value to customer. So, you can have some swings in that on the upside, not on the downside, on the upside, as you roll through that. So, the best way to do that as we've just given you this 53% six quarters out basically in the new midterm model, so as you roll through the trajectory, I would just take a look at what that drop-through would mean during that period of time, and that's how to model it. That's the best way to do that.
Operator: Thank you. Our next question is from Atif Malik with Citigroup. Go ahead please.
Atif Malik - Citigroup Global Markets, Inc. (Broker): Hi. Thanks for taking my question, and congratulations on another strong quarter. Dave, a question on the gross margins. If I look at other component makers in smartphone market application processor, I mean, those guys are talking about ASP pressures next year, and you guys are planning to expand your gross margin. So help me understand why the pricing environment or the gross margin profile for RF guys should remain strong into next year in a decelerating year-over-year smartphone unit environment?
David J. Aldrich - Chairman & Chief Executive Officer: Well, it's relatively simple. It isn't a year-over-year, part-to-part comparison. We are increasingly integrating more functionality as these devices get more complex, and we're seeing fewer competitors able to do it. Customers can't handle discrete components any longer, and that level of integration required to have a product that consumes low current, that's small, that is highly integrated requires many, many different functional blocks with process technology know-how pulled together in a low-cost manufacturing platform with great system architectures. So, we are able to work with our customers to give them a differentiated system performance which is increasingly becoming analog and RF dependent; less digital and more analog and RF dependent, and that's our sweet spot. And so our customers it isn't as if that we're charging our customers more, per se, per function, it's that they're giving us more of the system requirement and they're paying us for it because we've generated we add a great deal of value for them.
Atif Malik - Citigroup Global Markets, Inc. (Broker): Great. And as a follow-up, on your last call you guys talked about selling one 1 billion plus TC SAW filter units this fiscal year and 1.2 billion end of this calendar year. If you can update us on those numbers and what your expectations are for next year.
Liam K. Griffin - President: Sure, yes, we are actually well on the way to beat our estimate on TC SAW production. We will exit the calendar year over 1.2 billion in TC SAW devices. And as Dave articulated, all of those devices are being consumed internally by these highly complex system architectures. So we're wrapping up multiple bands, very, very high precision devices that allow our customers to put best-in-class solutions into their products. So it's a great opportunity. It's early innings. We continue to invest and fund and CapEx. We expect another very strong year in 2016 for our filter integrated solutions, and it's a great opportunity for us and our customers.
Operator: Thank you. We have a question from Rick Schafer with Oppenheimer. Go ahead, please.
Rick E. Schafer - Oppenheimer & Co., Inc. (Broker): Yes, thanks. And I'll add my congratulations, guys.
Liam K. Griffin - President: Thanks, Rick.
Rick E. Schafer - Oppenheimer & Co., Inc. (Broker): My first question just was curious if you guys could provide some color or some early color on how you see the March quarter shaping up? Are there any factors at play we should be thinking about that would make it better or worse than what we've seen over the last couple of years?
David J. Aldrich - Chairman & Chief Executive Officer: No, I don't think so. Maybe Liam could chime in. Again, as I mentioned a moment ago, we think the markets down 8% to 10%, I think what you're maybe getting at is we do see the opportunity for OEM share shifts. We've factored that into our forecasts. We understand that. We have a great deal of experience with all of our large OEM customers. So we're able to sort of understand their buying and consumption patterns. So we think we handicapped that in a very conservative fashion. I don't think that's an issue for us. Our broad markets continue to add not only content, but add more new opportunities for us, which are growing sequentially each quarter, and we don't think March will be any different than that.
Liam K. Griffin - President: Yes, exactly. I think that's the real change is that the broad market portfolio continues to grow. It's highly diversified. We go from connected home to broad IoT devices, starting to even move it in markets like automotive. So there's a segment of our company now that really doesn't revolve around that typical seasonality in the March quarter. So we hopefully can do a great deal of work to offset the normal cycle.
Rick E. Schafer - Oppenheimer & Co., Inc. (Broker): Okay. And then just as my follow-up, maybe can you comment on the content trends with some of the China smartphone OEMs? I know Apple's success there is it having any sort of noticeable impact on the RF content complexity plans for sort of the second gen 4G phones from the big China OEMs? And if there's any way you can put numbers to that or give a sense of if you've got sort of in the $4 of content on average now, what that might look like in the next year or two?
Liam K. Griffin - President: Yes. No, that's a great question. And we certainly look at the China opportunity as a long-term secular trend for Skyworks. So we're going to do very well. We've been doing well. And as you've articulated, the 4G cycle is significantly meaningful. We do address that with the global Tier 1s. You named a few, as well as the local brands, and what we've been seeing is that the local providers; names like Huawei, names like Xiaomi, Oppo, Vivo have now become much more comfortable with developing the higher-end solutions in 4G. It's a major content gain for us when you compare with the 3G devices where we may have $1 or $1.25 of opportunity. Now we move to $3 to $4. And it's not just traditional transmit devices. It's receive side technology, there's Wi-Fi technology, there's power, there's GPS. So it's a powerful cycle. There's going be some share shifts in that market. Not everyone is going to win. The local brands are sorting it out. We see three or four companies emerging. The foreign brands, the global players will participate. But one of the things to note about Skyworks is we're highly diversified. We're diversified with the China brands, we're diversified with the global brands, and we'll do well in that market as it grows.
Operator: Thank you. We now have a question from Steve Smigie with Raymond James. Please go ahead.
Vincent D. Celentano - Raymond James & Associates, Inc.: Hi. Thanks. This is Vince Celentano in for Steve. Going back to the broad markets, it looks like you guys grew around mid-teens this year. Given the growth in wearables and as you're saying the content growth in networking gear, do you think this mid-teens growth is kind of a sustainable growth rate for 2016? Or are you expecting more growth because of that? And in general, what are the main drivers you see determining what happens?
Liam K. Griffin - President: Yes. No, absolutely. So the broad market, it's getting quite exciting because it's really the sum of many, many different segments. We talked a lot about our Wi-Fi business and access point and connected home, and now you do have the emergence of markets like wearables. And what we're seeing in those markets is early stage it's been relatively light duty with respect to connectivity. They may incorporate Wi-Fi. We have ZigBee, we even have Bluetooth products that are participating through that space. But we're starting to look further out in architectures with lead customers, and they're bringing in higher levels of complexity even in wearables and IoT devices. We're seeing LTE being embedded in solutions that will launch in the back half of 2016. So it's very early innings for mass adoption with consumers, but it's quite likely that the content trends that we've observed in smartphones could play out in IoT as well and in wearables.
Vincent D. Celentano - Raymond James & Associates, Inc.: Okay, great. Thanks. And then just a quick line item question. Was there any particular reason for the jump in accounts receivable this quarter?
Donald W. Palette - Chief Financial Officer & Executive Vice President: No. Our DSO for the quarter was the same as Q2. Q3 and Q4 were around 43 days. It was just the timing of when the revenue shipped in the quarter. That's all it was. It's not a collection or velocity issue.
Operator: Okay, thank you. We have a question from Vijay Rakesh with Mizuho. Go ahead please.
Vijay R. Rakesh - Mizuho Securities USA, Inc.: Hi, guys. Congratulations on a great quarter and guide.
Liam K. Griffin - President: Thank you.
David J. Aldrich - Chairman & Chief Executive Officer: Thanks.
Vijay R. Rakesh - Mizuho Securities USA, Inc.: Thanks. Couple of questions on the TC SAW side. Obviously it's doing 120%, 140% year-on-year it looks like. How much capacity are you adding in RF as we look into next year?
David J. Aldrich - Chairman & Chief Executive Officer: Well, we've added about a tripling of capacity with the new factory, Hitachi glass factory we acquired, we've been outfitting. That's why you saw a little bit of increase in the capital. So we're beginning to ship into that new factory and we'll see a good doubling of expansion.
Liam K. Griffin - President: Yeah, and further to that, think of this as a high performance filter site, all topology. So bulk acoustic wave opportunities, temperature compensated surface acoustic wave, standard surface acoustic wave. It is a first-class facility and we're funding it in the right way. We've got great people, qualified proven people. We're upping our game in design engineering. We've got a war chest of IP. So this is going to be a real driver, a competitive driver, for us.
Donald W. Palette - Chief Financial Officer & Executive Vice President: Yeah, and just to clarify, the new facility is a leased facility. It wasn't a big CapEx investment for us. The equipment we're investing in, but the facility itself is just a lease.
Vijay R. Rakesh - Mizuho Securities USA, Inc.: Got it. And just briefly, I know it's been asked before, but as you look at 2016, your comfort at the content growth in the marquee phones? Thanks.
David J. Aldrich - Chairman & Chief Executive Officer: It's very high. We have really quite good visibility and it's really a function of two things. One is that the content in general is going up as more bands are brought to market, more carrier aggregation bands, more sophisticated Wi-Fi, more voltage and power challenges that need to be solved in the analog functionality. So we're able to do that. And we have increasingly been able to put more functional blocks on the table to try to sweep in more, whether it's in our module or at the IC level. So I feel very comfortable that this increasing content generation over generation will continue.
Operator: Thank you. Our next question comes from Edward Snyder with Charter Equity. Go ahead please.
David J. Aldrich - Chairman & Chief Executive Officer: Hello?
Operator: Mr. Snyder, your line is open. Okay. We will move on then to Mike Burton with Brean Capital. Please go ahead.
Mike A. Burton - Brean Capital LLC: Hey, guys. Thanks for taking my questions and congrats on the strong quarter, especially in this environment. First for Don, great execution on the margin front and a nice update there. Sorry I missed it, but did you say that we should be using a 57% contribution margin going forward? And then what are the puts and takes for OpEx as we go through the next fiscal year relative to normal seasonality and planned program ramps?
Donald W. Palette - Chief Financial Officer & Executive Vice President: Yeah, Mike, as far as the drop-through, if you were to look at going from the guide we just gave to December to the target revenue quarter of $1.125 billion and you looked at 51% to 53% and you just did the drop-through on that volume change, it's 62%. Why I'm saying use the 57% is because it's going be a little different than that in that it's based on the timing of shipments. So there may be some quarters it will be a little higher than that. I would just look at that timeframe and then you can smooth that out over that. But if you just did it on a straight-line basis, it would be 62%. There's going be some quarters it could be 57% and 70%. So that's why I'm answering the question I am. But it's all good news, obviously.
Mike A. Burton - Brean Capital LLC: Okay. And then on the OpEx side?
Donald W. Palette - Chief Financial Officer & Executive Vice President: Yeah, I would say to model that the way we've done it and when you look for six quarters out, we're adding about $3.5 million a quarter in OpEx.
Operator: Thank you. We have a question now from Harsh Kumar with Stephens. Please go ahead.
Unknown Speaker: Thanks, guys. This is Richard. Let me echo my congratulations as well.
Donald W. Palette - Chief Financial Officer & Executive Vice President: Thank you.
David J. Aldrich - Chairman & Chief Executive Officer: Thanks.
Unknown Speaker: Wanted to talk about the broad markets. Clearly the IoT market is going crazy. Could you quantify kind of the CAGR you're seeing there? And then in terms of your automotive strategy, can you talk about your design wins there? And then when should we start to see the acceleration of revenues?
Liam K. Griffin - President: Sure. So within broad markets, this last year we grew about 20% year-over-year with all segments. The IoT elements and segments have been the fastest growers. So we have IoT growing faster than that 20% and then we have some markets, like infrastructure, that have been a little slower, but net-net you get the 20%. We think that's sustainable. We're adding new customers. There's a roster of names that we participated with this year. We talked about some of the marquee solutions with Google's OnHub and other devices. Automotive, we're starting to get design wins in a couple of places. We started with some of the infotainment-like solutions with Wi-Fi and power management in-dash. More recently, we've seen customers adopt LTE-based roaming hot spots, if you will, and gobble up a great deal of 4G technology. Those solutions will be shipping later in 2016. It's still very early for us and automotive is still a new market for Skyworks. But, yeah, you should expect a lot more there from each of the segments, the traditional IoT, the connected home and then eventually more on the auto side.
Unknown Speaker: That's very helpful. Thank you for that color. And then in terms of the December quarter guidance, what are the puts and takes to get to your guidance level on revenues?
David J. Aldrich - Chairman & Chief Executive Officer: Okay. Well, this is Dave. December is normally a strong quarter for us. It's a holiday seasonal ramp. We'll continue to grow within emerging market LTE upgrade cycle. We've got some nice content. We've got really good position with the SoC partners. I think we'll see another strong broad markets quarter, particularly in the connected home and in IoT. This will be offset a little bit maybe by some of the markets we address like industrial, as we see a little softness there. But net-net broad markets will be up in December. So we're guiding revenue up to be about 15% year-over-year, margins will expand, and as Don mentioned, strong earnings leverage.
Unknown Speaker: Great. Thanks, guys. And congratulations.
Liam K. Griffin - President: Thanks.
David J. Aldrich - Chairman & Chief Executive Officer: Thank you.
Operator: And thank you. Our next question is from Vivek Arya with Bank of America Merrill Lynch. Go ahead please.
Vivek Arya - Bank of America Merrill Lynch: Thanks for taking my question. And I'll echo my congratulations. Very good results and guidance despite all the noise and headwinds in the markets. It's good to see that.
Donald W. Palette - Chief Financial Officer & Executive Vice President: Thank you, Vivek.
Vivek Arya - Bank of America Merrill Lynch: So maybe as my first one, Dave, I'm trying to understand if let's say for whatever reason growth shifts from your large marquee customer to, let's say, customers in China, how is Skyworks positioned? And is it fair to think that when I look at your absolute content, it may be roughly similar in both situations because at the large marquee customer you probably have less share and a higher bill of materials, whereas at the Chinese customers you may have higher share and a lower bill of materials? So is it possible there is that kind of balancing? So even if growth shifts from one class to the other, you can still continue to do well?
David J. Aldrich - Chairman & Chief Executive Officer: Well, I think, yes, we can continue to do well. I think we continue to do very well because content is going up across our customer base. It's interesting that you commented on it's kind of winner-take-all with some of these indigenous providers or rather OEMs within China and our content is going up among those. So I think it really remains to be seen, but it has been the case that the leaders in the smartphone space have been driving technology that has been later adopted by others. So there's a little bit of a time delay, but I think your thesis is fine.
Vivek Arya - Bank of America Merrill Lynch: Okay. And as my follow-up, even after you complete the announced PMC acquisition, you'll still have a relatively strong balance sheet and low leverage. How do you think about uses of cash and the debt capacity given where the stock is right now versus what you think is a strong growth trajectory as you look at next year?
David J. Aldrich - Chairman & Chief Executive Officer: Okay. Well, I think with respect to M&A, you're right, we'll have light leverage and we will have an opportunity to pay it down very, very fast because, as you've seen, we're a very strong cash generator. We generate a lot of free cash flow at Skyworks. And so if I look at the long-term, we continue and will continue to look for accretive acquisitions that have a couple of characteristics. One is they have stickiness to the end customers. So there's a technology envelope or market being addressed that is highly valued where we can leverage perhaps customer relationships, manufacturing expertise, process know-how, system capability and create solutions that have a great deal of value. We're also looking for opportunities to leverage our position in mobile and connectivity for adjacent markets – vertical markets if you will – that again have those same characteristics. We're very interested in looking for analog opportunities that are outside of our current target market scope and look for logical extensions where we can continue to increase margins, while having more legs to the stool, if you will.
Donald W. Palette - Chief Financial Officer & Executive Vice President: Yeah, and, Vivek, just to follow on that. So, as Dave said, if you look at our EBITDA and our strong cash flow, we certainly have the powder to lever up more than the said deals. PMC would be about 1.2 times EBITDA. So we'll have room to grow if we so desired. We like the 40% return to the shareholders, so we'll continue to look at annual dividend increases. That's a smart play for us. And then we'll do opportunistic share buyback. So that's the right formula, because obviously we could take that number up, but we think the best long-term value is to continue to focus on how we're going to grow the top line of the business. So that's the balance that we're trying to strike.
Operator: Thank you. We have a question from Edward Snyder with Charter Equity. Go ahead, please.
Edward F. Snyder - Charter Equity Research, Inc.: Thank you. Sorry about that. So a couple things. First, Dave, you guys did better on the Phase II MediaTek than I think a lot of people had anticipated here, and first wanted to confirm that that was something like SkyLiTE, correct? And does it represent an increase in RF content both for that platform, the last one and for Skyworks? And is that the trend you're seeing in even the white-box guys at this point?
Liam K. Griffin - President: Ed, yes, this is Liam. That's a great pickup on that. We did win some meaningful share with MediaTek and it is our SkyLiTE product line. And what SkyLiTE is, actually, is think of it as our SkyOne ex-filters. So there's a couple of themes there. The content with MediaTek on those platforms is going be an upgrade from where we were on the prior region, but overtime, if you can envision, if we start to develop our filter strategy and our integration strategy with a company like MediaTek taking the SkyLiTE and now embedding high-performance filters, you could see a real pop in opportunity. And it's something that our chipset partners want to see. So yes, you called that correctly with the technology. We're happy with the position. We love MediaTek. We've worked with them for years. They were a little late to the game in 4G, but as you've seen, they're accelerating gains.
Edward F. Snyder - Charter Equity Research, Inc.: And then you're talking a lot about BAW here and I know you guys work – this is an FBAR type process I think it is. Is it not? And did Panasonic have IP in that? Or do you think you'd cross over anything that Avago has got here? How do you feel about the IP situations, given that there's only two other guys doing this right now?
David J. Aldrich - Chairman & Chief Executive Officer: Well, Panasonic has, as you can imagine, a great deal of fundamental IP around filters in general. And so filters have been around for a long time, bulk acoustic filters have been around a long time as have surface acoustic filters, and so we have a lot of IP in filters. And Panasonic brought us a great deal of expertise and leverage.
Operator: Okay. Thank you. Ladies and gentlemen, that concludes today's Q&A session. I'll now turn the call back over to Mr. Aldrich for any closing remarks.
David J. Aldrich - Chairman & Chief Executive Officer: Thank you very much for listening and we look forward to seeing you at upcoming conferences.
Operator: Okay. Thank you. Ladies and gentlemen, that does conclude today's conference call and we thank you for your participation.